Operator: Greetings. Welcome to the Aurora Second Quarter 2022 Business Review Conference Call. At this time all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Richard Tame, Chief Financial Officer. Thank you, you may begin.
Richard Tame: Thank you, Alex. Good afternoon, everyone. And welcome to our second quarter 2022 business review call. I'm introducing the call today to Stacy is under the weather. We announced our results earlier this afternoon. Our shareholder letter and a presentation to accompany this call are available on our Investor Relations website at ir.aurora.tech. The shareholder letter was also furnished with a Form 8-K filed today with the SEC. On the call with me today is Chris Urmson, Co-founder and CEO. Chris will provide an update on the progress we have made across the key pillars of our business. And I will recap our second quarter financial results. We will then open the call to Q&A. The recording of this conference call will be available on our Investor Relations website at ir.aurora.tech shortly after this call has ended.  I'd like to take this opportunity to remind you that during the call, we will be making forward looking statements. This includes statements relating to the achievements of certain milestones around the development and commercialization of the Aurora driver on our anticipated timeframe. The timing of availability of autonomy enabled platforms, the expected performance of our business, and potential opportunities with partners and pilot customers expected cash runway and overall future prospects. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call.  In particular is described in our risk factors included in a quarterly report on Form 10-Q for the quarter ended March 31, 2022. filed with the SEC on May 12, 2022. As well as the current uncertainty and unpredictability in our business, the markets and economy. You should not rely on our forward-looking statements as predictions of future events. All forward looking statements that we make on this call are based on assumptions and beliefs as of the date here, and Aurora distinct disclaims any obligation to update any forward-looking statements except as required by law. Our discussion today may include non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results.  Information regarding our non-GAAP financial results, including a reconciliation of our historical GAAP to non-GAAP results may be found in our shareholder letter, which was furnished with our Form 8-K filed today with the SEC, and may also be found on our Investor Relations website. With that, I will now turn the call over to Christin [ph].
Chris Urmson: Thank you, Richard. We're pleased to report a strong second quarter, we made critical technological progress toward commercial deployments across multiple fronts. We achieved a significant milestone with the launch and successful demonstration of our fault management system. And we introduced a suite of new driving capabilities in our beta 3.0 release that improves the Aurora drivers performance on surface streets, ramps, highways and construction zones. We also expanded our commercial operations with FedEx. Launched new pilots with Werner and Schneider and made significant progress with our OEM partners on their respective driverless platforms. It is through this progress that we see a clear path to a driverless future.  As we move closer to the launch of our first commercial product, we recognize the value in providing a more tangible way to measure our progress. In our shareholder letter that we published this afternoon, and also on page three in the slide deck, we introduced our roadmap for the commercial launch of our autonomous trucking product, Aurora horizon. Our roadmap outlines progress we have made this year and the work that remains between now and our plans commercial launch. It encompasses the key components and dependencies of our business, the Aurora driver operations and the vehicle platforms.  Let me walk through some of the significant milestones highlighted on the roadmap. For the balance of 2022 and the first quarter of 2023, our technical development work will focus on releasing the remaining capabilities that we expect Aurora driver will require like to drive commercial loads on our launch lanes. We expect your driver to be feature complete by the end of the first quarter of 2023. Feature complete means we will have implemented all of the capabilities necessary for launch and will have removed all policy interventions. As a reminder, we define a policy intervention as an action or operators take to preemptively disengage the Aurora driver when we know it is not yet capable of confidently navigating a particular scenario.  Throughout development, and once Aurora driver is feature complete, we expect to continue validation and compiling the evidence for the safety case for our commercial launch. When the Aurora drivers feature complete, and as we work towards commercial readiness for the Aurora driver by the end of 2023, we expect to begin sharing a quantified measure of the Aurora drivers autonomy performance quarterly. To show our progress towards this critical milestone. We look forward to outlining this autonomy performance framework at our upcoming Analyst and Investor Day in September.  Earlier this year, we committed to demonstrating our Fault management system during the third quarter. Our FMS is designed to actively monitor the health of the vehicle, including the self-driving software, sensors and onboard computer. When it detects an issue, the FMS will intervene navigating the vehicle to a safe stopping location where the issue can be addressed. We achieved this milestone earlier than expected and demonstrated on Aurora driver powered trucks operating at highway speeds. This speaks to the incredible work of our team who defined, implemented and validated over 1000 requirements to achieve this milestone, while also make it rapid advances across a range of other technological areas critical for commercial deployment.  We've included a video of the demonstration on page 4 in the slide deck, engineers injected artificial faults representing sensor damage. This system detected these faults assess their severity and responded by activating the autonomous vehicles hazard lights, reducing its speed and safely pulling over to the side of the road. As with other elements of the Aurora driver, the fault management system was developed and extensively tested first in simulation, enabling safer and more rapid implementation in the real world. As we move towards commercial launch, our fault management architecture will advance to recognize and respond to additional safety issues while on the road.  I experienced this system in action firsthand in June when I joined our vehicle operators during testing just outside of Fort Worth. It was a thrilling moment that demonstrated the maturity of the Aurora driver. This is a foundational capability for removing vehicle operators and a meaningful step toward satisfying the failsafe core claim of our safety case and ultimately delivering a safe, commercially ready driver. During the second quarter, we also released Aurora driver beta 3.0. Continuing our commitment to deliver quarterly technical updates that advance the Aurora driver. This update debuted Ketubot [ph] debuted capabilities to enable end to end autonomous operation between Aurora’s terminals, and shows how the Aurora driver can safely navigate increasingly complex and critical situations that are necessary for the deployment of our commercial trucking product. We've included a few videos in the slide deck to bring some of these capabilities to life. On Page 6, after exiting our El Paso terminal, you can watch the Aurora driver making an unprotected right turn onto the westbound frontage road and proceeding to execute a Texas U turn to merge onto I-10 eastbound to Fort Worth. Additionally, the Aurora driver can now handle long downhill grades using engine braking to avoid excessive wear and the danger that comes from overheating brake pads. In the video on page 7 of the slide deck, you can see the Aurora driver on the Fort Worth will pass a route to ascending Ranger Hill on I-20 for three miles with a 3.5% downgrade without engine braking. This hill cooks brake pads reducing their life dramatically.  Now the Aurora driver autonomously applies engine brakes increasing safety for all drivers on the road. And on page 8 of the slide deck, the Aurora driver is on the highway and plans to change lanes as indicated by the green path, but another vehicle has aggressively cut into the lane. I'm sure we've all had similar experiences where we've had to make split second decisions about how to adjust our driving. Here the Aurora driver recognizes that another vehicle is now occupying the space and safely returns to its lane. Ultimately executing the lane change once it can safely do so. The National Highway Transportation Traffic Safety Administration data shows that 9% of all accidents occur during lane changing and merging on highways.  Given this relative frequency, we've continued to refine the logic by which the Aurora driver reasons about and negotiates lane changes with other actors. During the third quarter we plan to launch capabilities that include identity and responding to debris and navigating even more complex construction zones, including the detection of lane markings that have shifted. These advancements put us on the path for the Aurora driver to be feature complete by the end of the first quarter of 2023 and commercially ready by the end of 2023. While we are bringing new capabilities online, we are simultaneously improving our performance on existing capabilities. As you can see in the chart on our shareholder letter, over the course of the second quarter, we drove a significant improvement in required vehicle operator interventions for localization issues on the Fort Worth to El Paso Lane, with no intervention seen in the final weeks of the quarter.  This improvement stemmed from advancements in our HD mapping system, the Aurora Atlas, and the Aurora driver that enabled our vehicles to better adapt between using lane markings and geometric data to precisely position themselves. These developments make the Aurora drivers performance more robust in construction zones and highway segments, with few distinct road features, such as signs and off ramps, as well as long stretches of rapidly growing vegetation. All of these conditions are common on rural routes like Fort Worth to El Paso. And turning to our pilots during the second quarter, we doubled our commercial miles driven across our pilots and lanes and also saw improved autonomy performance when compared to the first quarter, further demonstrating our progress towards the commercial launch of the aurora driver. One of the most tangible ways to measure our performance and progress as the feedback we receive from our customers themselves.  Given our strong performance since the launch of our pilot with FedEx, we further expanded our collaboration with them earlier this year, growing our pilot to include the 600-mile Fort Worth to El Paso Lane. We're currently autonomously hauling FedEx loads under the supervision of vehicle operators daily between Dallas in Houston and weekly between Fort Worth and El Paso. demonstrating our autonomous technology through this pilot is one key aspect. Equally as important is that we are operating this pilot in a commercially representative manner. This means FedEx expects these vehicles to perform to its exacting requirements for scheduling, dropping hook trailer operations and on time delivery. We're pleased to report that across each dimension our pilot fleet has delivered.  To date this pilot has allowed both Aurora and FedEx to refine our operations and prepare for future growth. We are proud of our performance since the launch of the pilot. Through the second quarter we have delivered over 335 loads driving over 80,000 cumulative miles with 100% on time performance and with no cancellations. With each trip the Aurora drivers providing 1000s of FedEx customers with packages that were autonomously transported. We're excited to have been invited by FedEx to their Investor Day earlier this summer to share how we are integrating furore driver with their network. And you get a flavor for the operational elements of this partnership in a video that FedEx developed, which we've included on page 10 in the slide deck. We continue to see broad demand to apply our technology. This week we're launching our fourth pilot, Aurora powered trucks will autonomously haul freight under the supervision of vehicle operators for Schneider National, one of the industry's largest multimodal transportation providers. We’ll begin with weekly hauls on our Dallas to Houston Lane, and we expect to increase that frequency as our relationship expands. We look forward to working with Schneider to understand how best to incorporate autonomous trucks into its fleet with the goal to improve efficiencies and address the growing demand to move goods. We believe the sheer breadth and diversity of our customer pilot programs including FedEx, the largest less than truckload freight carrier in the United States, we’re an earth a top five full truckload carrier.  Schneider, one of the largest multimodal carriers and Uber freight a significant freight broker is a testament to both our industry leading technology and operational excellence. These programs set us apart in the autonomous freight space. Through strong execution on our pilot programs, we are continuing to build trust and credibility in the industry. We believe the strength of these relationships positions us for an effective driverless commercial launch when our technology is sufficiently mature to meet our rigorous safety standards, and the requisite truck platforms are ready. On that front, we continue to make significant progress with both Paccar and Volvo trucks in the preparation of scalable autonomy enabled truck platforms. Working in close partnership, our teams have defined product requirements aligned on detailed technical requirements, selected and awarded key component suppliers designed key interfaces between the Aurora driver and the vehicle platform and built initial prototypes.  As strong as the collaboration progress has been these programs are not immune to the industry challenges we continue to see. Taking into account current supply chain constraints. We now expect the delivery of scalable autonomous truck platforms in the first half of 2024. While this program timing is later than we had originally expect -- originally expected, we see the recent awarding of key supplier contracts as a major point of schedule risk reduction in these programs. With the delivery of the truck platforms, we expect to be able to complete final validation of the integration of the Aurora driver with the track platform in preparation for releasing a scalable trucking product by the end of 2024.  Turning to the regulatory landscape as we work closely with our vehicle partners toward delivering our product, we also continue to engage with policymakers on their support for safe deployment and development of self-driving technology, and ultimately, how together we can make our roads safer and transportation systems more efficient. This past quarter, we continue to build legislative and regulatory support in California and Pennsylvania. We work with others in our industry to encourage regulation to permit deployment of autonomous trucks in California. And we joined others in the industry in advancing legislation in Pennsylvania that would facilitate fully autonomous operation in the state.  Additionally, as we set the foundation for our future expansion, I'm pleased to share that the state of Arizona has granted Aurora’s request to test and operate in their state. And we have submitted notification of our intent operate in New Mexico. from a regulatory perspective, this now allows Aurora to commercially deploy our self-driving technology in Texas, New Mexico, and Arizona. When we're ready to do so, bring us one step closer to deploying on one of the busiest freight corridors in the country, from Dallas to San Diego.  Finally, I'm immensely proud of our safety culture at Aurora. We finished the second quarter celebrating National Safety Month, an opportunity to reinforce recognize and reflect our safety practices, while also giving the team an opportunity to hear from safety experts outside of Aurora. At Aurora we put an emphasis on developing and implementing safety best practices to ensure our employees are empowered and have multiple outlets to raise safety concerns without fear of retaliation. We review and address this feedback to continuously improve our technology, policies and internal practices. And I'm proud to share that during the second quarter, we reviewed a closed 100% of safety concerns raised within the quarter.  Everyone at Aurora from our vehicle operators to myself plays a role in safety by speaking up if something doesn't meet Aurora standards. Enclosing remaining laser focused on our plan and executing on what we can control is imperative in the current environment. Our first priority and where we are focusing our capital is the commercialization of Aurora horizon. We expect discipline, focus and prioritization to help extend our cash runway to mid-2024. We can't wait show the world what the Aurora driver can do as we advance our mission to deliver the benefits of self-driving technology safely quickly and properly.  I will now pass it over to Richard, who will review our financial results.
Richard Tame: Thank you, Chris. We recognized approximately $21 million in collaboration revenue during the second quarter of 2022 and $145 million cumulative to date for development work associated with our agreement with Toyota. We have now recognized substantially all of the revenue under the agreement and received substantially all of the cash as well. While a first priority is commercialization of Aurora horizon, we believe this work and other long lead efforts will spring load us for the eventual launch of Aurora Connect. During the second quarter of 2022, our market capitalization declined below a carrying value of net assets Trigon at a $1 billion non cash reduction in the carrying value of goodwill. There is no change to our outlook for the businesses we have acquired nor how we expect them to contribute to our commercialization.  Including the reduction in the carrying value of goodwill, and $46 million in stock-based compensation, operating expenses totaled $1.2 billion. Excluding these non-cash expenses, operating expenses were $171 million. Within operating expenses, R&D expenses, excluding $41 million in stock-based compensation totaled $142 million primarily comprised of personnel costs as we continue to invest in our industry leading autonomy work. SG&A expenses excluding $5 million in stock-based compensation, with just under $29 million. Turning to cash flow. We used approximately $90 million in operating cash, which reflects the inflow of $48 million during the quarter related to the Toyota agreement. Capital Expenditures totaled $4 million. We ended the second quarter with a very strong balance sheet including $1.4 billion in cash and short-term investments, enabling us to continue to develop the Aurora driver for commercial deployment at scale.  With that, we'll now open the call to Q&A.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Tom White with D.A. Davidson. Please proceed with your question.
Tom White: Good evening, guys. Thanks for taking my question. I guess first off, Chris, I just wanted to make sure I understood kind of your latest expectations around the timetable for commercializing the trucking product, it seems like you guys are tracking ahead of schedule on some of the technical milestones like fault management and the FedEx collaborations. But the letter touched on the delay as it relates to the trucking platforms. So maybe just kind of like net, our year expectations around kind of commercializing trucking slipping a bit if you could just elaborate there a little bit? And then I had a follow up?
Chris Urmson: Yes. So as you point out, we feel like we're making very good progress on both fronts. On the internal development of the road driver, the team is making great advances. And in the roadmap, we've shared, we've kind of outlined some of the concrete capabilities, we expect to be delivering over the coming quarters to get to feature complete. And then from there, we're kind of in the fun part where everything is working. And it's refining things and getting to the quality of performance, we need to be confident in a road driver up and operating on the road. To ultimately deliver a commercial product, we need vehicle platforms, as well, that have redundancy and interfaces that enable that enable the road driver to operate them safely.  Our partners are making great progress. We're working closely with them. And we think that the largest risk part of those programs has now been retired. And that's the selection of some of the key tier one, selection and awarding of a couple of the major tier one contracts. And so that will ultimately lead to us being a little bit later than we had intended or expected with the commercialization of the truck. It's most I think it's important to note that today, we are actually operating commercial loads for folks like FedEx, as we pointed out where we're hauling goods on routes, and we expect to continue to be doing that through the coming years.
Tom White: Okay, that's helpful. Thanks. And then maybe just a high-level question on kind of how this industry and ecosystem evolves. And specifically, as it relates to kind of like, the blur between partnerships and competition. I noticed, during the quarter that one of your key partners and shareholders announced Uber announced a long-term strategic partner with Waymo and I feel like this industry is just ripe of REITs examples of kind of competitors who are partners and vice versa, I was hoping maybe just talk a little bit about how you see this space, kind of evolving over the next several years, particularly as it relates to kind of these, these overlapping kind of partner and competitor dynamics.
Chris Urmson: So maybe, maybe I'll talk just directly about the Uber relationship. And then I can talk more broadly about how we see the industry evolving. So with Uber, as you are probably where we acquired their self-driving business at the beginning of last year, and part of the logic behind that for Aurora, it was about bringing amazing people on board. It was about bringing great technology, and it was about putting in place a partnership with the world's leading ride hailing platform and an important frayed platform as well. Part of the logic from Aurora’s side and from Uber side was that they really wanted to focus on being the network and serving their customers and optimizing what they do best. And so it was from day one, the conversation, I had with our and our team said as we negotiated that acquisition was we’ll focus on the driver, they focused on the network, and we understood that this was not going to be exclusive in either direction.  And that made sense and we expect to compete with other folks building automated vehicle technology and, frankly, we, we're betting we're going to be the best of that right and do what we what we do well. More broadly, we see the industry evolving. So, I think that the current financial climate is going to help separate a little bit the wheat from the chaff. Right, the teams that have the ability to actually deliver this product are going to be able to raise capital when needed at some point in the future, and they're going to deliver on the product. And we see it helping clear some of the playing field. Frankly, we do expect consolidation to continue. It's been something we've been talking about from very early on the company that it's, a totally appropriate new industry for the lots of players out there exploring the space. But those of us who know what we're doing will be able to kind of continue to make progress, deliver the technology execute on our mission and create shareholder value.
Tom White: That's very helpful. Thank you. Maybe I'll just slip in one last one, in the letter, you indicated that by the end of this year, you plan to begin sharing initial allocations of your launch capacity with customers. Curious, can you talk maybe a little bit about how you kind of prioritize who gets the allocations and how you distribute them? I mean, on one hand, maybe it's just a kind of a revenue or pricing, that kind of maximization thing, but I suspect it's not purely kind of who would pay the most, or for you, but just curious for any kind of color detail you can share on that process.
Chris Urmson: Yes, so we really, we really put a lot of effort into building alignment with our partners, and we went and make sure that what we're doing is helping create value for them in their businesses. And so as we get into those allocations, it'll be alignment around kind of the routes that we're operating on, and where those partners see the most value. And so I don't think I can share more than that with you today. 
Tom White: Great. Thanks a lot.
Chris Urmson: Thank you.
Operator: Our next question comes from a line of Steven Fox with Fox Advisors, please proceed with your question.
Steven Fox: Hi, good afternoon. Couple for me if I could please, first of all, with the delay in the supply chains on the trucking side, and you're still it sounds like you're still advancing steadily on your own technology, it any implications for the rideshare goals that you've set out previously. And then I had a couple of follow ups.
Chris Urmson: So we think that focus matters, and particularly in this economic climate, and so we're going to be putting more emphasis on trucking and making sure that that product makes it the market, we still see the value in the ride hailing market, we have the deep partnership with Uber, we have an amazing partnership with Toyota. But we expect to be shifting resources more to trucks to make sure we get that out the door and deliver their first.
Steven Fox: Okay, that's helpful. And then from a safety aspect, Chris, is emphasized over and over again, how the company has a safety-first aspect to the strategy. It seems to be shining through I haven't heard of any kind of incidents with your vehicles, as you've been ramping up some of these pilots, one of your peers has had an incident where it seems like they also had some operational issues in terms of how it was recognized, etcetera. Can you just sort of reinforce that point in terms of talking about what safety issues the company has had to date? And how you're handling some of the some of the issues as they do crop up during the pilots? One last question.
Chris Urmson: Happy to. So as we, as you say, we put safety first, it's, if you look at our mission, delivering the benefits of self-driving technology safely, quickly, and broadly. It's the first of those adverbs there. For us, it starts with the culture that we build, right from very early on, we had techniques for employees, wherever they were in the organization to flag safety concerns, allow us to bring the fleet down and then address those concerns. We've put in place kind of the best in practice safety management system, we have a broad safety concern reporting system where we anonymously, or not and honestly allow people to flag concerns that they have proud to say that. I think in Q2, we closed all of the race safety concerns, and took appropriate action where we're relevant.  When it comes to the actual operation of the vehicle, we have a technology that that again, has been in place since basically day one that we call the checklist system that maybe the skin a little too geeky for a call like this. But it's effectively an automated system that reviews I think, at this point around 1900 individual elements have to make sure that they're operating within range. And so we would know if the and prevent the system from ever even attempting to enter autonomy if a subsystem hadn't been started, or if messages were too out of date to be relevant anymore. So the, that kind of operator kind of disconnect, just, you have to design for that. Right? People are fallible. And so they're one part of the safety system. And we have to build the rest of the system around it to make sure that we minimize the overall risk of what's happening out on the road.
Steven Fox: Right, that's really helpful. And then, just lastly, in terms of, in the context of this change in the timeline, any I haven't studied the chart that you're publishing today, but how do we think about like, how many more pilot runs you're able to do? Before you ran versus the previous goals?
Chris Urmson: I'm not sure I'm sorry, I'm not quite sure I understand the question.
Steven Fox: Well, it seems like there's a delay on the truck, that you're going to be running a lot more pilots. So between now commercial stations seems like you're going to have a lot more testing under your belt. And maybe you would have previously I don't know if there's. 
Chris Urmson: No. Yes, so one of the things that we do continue to ramp up the number of trips that we're pulling for partners out on the road, and we kind of outline a timeline for that in the roadmap. And then there is this kind of ancillary benefit, if you will, that we anticipate the Aurora driver being ready at the on the team, same timeframe that we had said, and then we will have a period of time where we're out there operating. And we'll have even kind of more real-world experience with that out in the world before we ended up removing the operator from war. And so that that can only be a good thing.
Steven Fox: Right. Got it. Thank you very much. 
Chris Urmson: Thank you.
Operator: Our next question comes from a line of Mark Delaney with Goldman Sachs. Please proceed with your question.
Mark Delaney: Yes, good afternoon. Thank you very much for taking the questions. First was trying to better understand the revenue recognition implications from the change in the commercial launch. My understanding had been you do need that commercial truck in order you can start in order to start recognizing revenue with the horizon and the load, you're probably now are accounting for revenue, will that still be the case if you get to a feature complete? Next year, you still can't recognize revenue until later in ‘24 when you have those trucks? Or could you still recognize revenue late ‘23, like you've previously been thinking?
Richard Tame: Sure. So I think as Chris mentioned before, every day that we're pulling the loads, we are getting paid for those. It's a very small amount of revenue relative to the size of the P&L. So we're currently booking that as contra R&D expenses. So that's going to kind of continue for the foreseeable future. Our product is not to pull loads for people with human drivers, it's to have an autonomous and AI enabled platform, without a vehicle operator in there. And thus, that's when we really think that we'll start recognizing revenue as we go through sort of 2023 and into 2024. And as we scale up the number of trucks that we have in those development runs in the validation, I think there'll be a conversation with our account, external auditors about if and when we flip, but from our internal perspective, we don't expect it to show commercial revenue until we have no vehicles, no vehicle operators and trucks.
Mark Delaney: Okay, it's hard to inject deliveries that would coincide with the receiving these trucks in in mid-2024, early ‘24, when it would launch commercially. 
Richard Tame: Yes. 
Mark Delaney: Okay. And then you have to give you the update on the cash runway and having cash on hand through mid ‘24. That's just around the time or even just a little bit before the time before that commercial launches. So maybe you have too much cash Would you would you need in order to support a commercial launch? Thanks.
Richard Tame: Yes. So I think we ended Q2 with a very strong cash position with $1.4 billion cash and short-term investments on the balance sheet. And we believe that sufficient to take us into mid-2024. We expect progress along the roadmap that we've outlined today we shared today will support us being able to access the capital markets at a time when the time is right. So we have the ability to wait see what's happening in the markets hope the microenvironment improves and then progress along the roadmap should help us to raise capital at a price that we find attractive. 
Mark Delaney: A regular variable all of it based on how much revenue and the size of the launch you're going after, but the media have a minimum figure you need to support a commercial launch only ‘24. Is it too hard to say?
Richard Tame: Yes, that's not something we're going to say.
Mark Delaney: Okay. Thank you.
Richard Tame: Thank you.
Operator: Our next question comes from the line of David Vernon with Bernstein. Please proceed with your question.
David Vernon: Hey, good afternoon, guys. And thanks for walking us through the quarter. I also wanted to thank you for including the timeline on page 4 the shareholder letter. I have a question for you around this notion of feature complete? I mean, are we thinking about being feature complete in 10? Or on any operational design domain? Or is this really around the initial rollout areas within Texas I mean, complete is a pretty specific word. And I'm just wondering if there is a third dimension to this chart in terms of thinking about when we're feature complete for applications within the Texas triangle within the southeast, within the north, whatever that is there is? Can you talk a little bit about what that what that scope of feature complete? .
Chris Urmson: Yes, so we expect that to be that's feature complete for the initial launch lane, we do expect that as we expand into different areas, there will be some feature that gets added. But kind of the bulk of the development work to enable Texas triangle southwestern US is kind of ready at that point to be refined and validated to get to a Aurora driver ready.
David Vernon: Okay, that makes sense. And then as you think about the progression along here, when we're when can you help us maybe think about how many trucks would be available during that initial launch, kind of from where we are today. And then if there's some additional kind of color, you can put around the supplier approvals, and how that the runway for equipment availability. I'm just I'm trying to I've been trying to work with some clients, I'm trying to figure out. Okay, how many trucks might there be at a launch date along this timeline? And I'd love to just kind of, , get some guidance from you guys, in terms of how to think about that, not guidance for exactly how many trucks are going to be? Because I know, you probably don't know that, but how to think about it would be helpful.
Chris Urmson: Yes, so part of what's been happening with between us and our partners in on the truck side is making sure that the platform that gets developed is truly scalable, which means that the work, the hard work between our partner and the tier ones is in place where the road release for those components is ready to go. And so from a truck scalability point of view, our expectation is when those trucks are ready is that they will be able to scale meaningfully. For us, when we think about commercial launch, we think about it as kind of getting the first 20-ish vehicles out on the road without operators in them and then beginning to build the scale from there.
David Vernon: Okay, so 20 issues, there are a number around there in terms of garbles.
Chris Urmson: Well, again, they like 20 issues, what we're thinking about, but the important work that's being done on the vehicle side is to enable that to just grow. 
David Vernon: Okay. And can you apply it?
Chris Urmson: As you say, you spoke that's kind of what I'm trying to speak to, as you mentioned, kind of the supplier release approvals. And again, I probably can't get too deep in this, what’s the intent is that? Yes, these are these are vehicle platforms that are not, kind of special one off, you can do a field operational test with them, right. It's a product.
David Vernon: Okay. Thanks for the color.
Chris Urmson: Yes.
Operator: Thank you, ladies and gentlemen. We have reached the end of the question-and-answer session. This does conclude today's conference and you may disconnect your lines at this time. We thank you for your participation and have a wonderful day.